Operator: Good evening, and welcome to the Texas Roadhouse First Quarter Earnings Conference Call. Today's call is being recorded. [Operator Instructions] I would now like to introduce Michael Bailen, Head of Investor Relations for Texas Roadhouse. You may begin your conference. 
Michael Bailen: Thank you, Breanna, and good evening. By now, you should have access to our earnings release for the first quarter ended March 26, 2024. It may also be found on our website at texasroadhouse.com in the Investors section. 
 I would like to remind everyone that part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance, and therefore, undue reliance should not be placed upon them. We refer all of you to our earnings release and our recent filings with the SEC. These documents provide a more detailed discussion of the relevant factors that could cause actual results to differ materially from those forward-looking statements. In addition, we may refer to non-GAAP measures. If applicable, reconciliations of the non-GAAP measures to the GAAP information can be found in our earnings release. 
 On the call with me today is Jerry Morgan, Chief Executive Officer of Texas Roadhouse; and Chris Monroe, our Chief Financial Officer. Following the prepared remarks, we will be available to answer your questions. In order to accommodate everyone that would like to ask a question we kindly ask analysts to please limit yourself to one question. 
 Now I'd like to turn the call over to Jerry. 
Gerald Morgan: Thanks, Michael, and good evening, everyone. There is no doubt that 2024 is off to a great start with first quarter revenue over $1.3 billion and same-store sales growth of 8.4%. Our strong results continue to reflect our operators' commitment to the consistency and quality of the food, the hospitality they provide and our everyday value. The benefit of our long-term approach to the business and our focus on always prioritizing the guest experience is evident in the record sales, margin dollars and net income for the first quarter. 
 While the Texas Roadhouse brand generated average weekly sales of over $163,000 in the first quarter, I want to also highlight the progress our operators are making at Bubba's 33 and Jaggers. Bubba's 33 averaged over $120,000 in weekly sales during the first quarter. With 4 locations scheduled to open this year and a growing pipeline for the coming years, we remain confident in the future for Bubba's 33. Jaggers, our quick-service brand, is also experiencing momentum and delivered nearly $68,000 in average weekly sales. We continue to expect a mix of company and franchise Jaggers over the coming years, and the first international franchise in South Korea is scheduled to open later this year. 
 Our investment and commitment to opening new restaurants at a more even pace has been successful. In the first quarter, we opened 9 company-owned Texas Roadhouses. We currently expect to open an additional 6 company-owned restaurants during the second quarter. For the full year, we remain on track to open approximately 30 company-owned restaurants across the 3 brands. Our franchise partners opened 2 international Texas Roadhouse locations and a domestic Jaggers during the first quarter. We continue to expect as many as 14 franchise openings this year, including 4 Jaggers. 
 On the technology front, our conversion to digital kitchens is going as planned with 30% of the approximate 200 scheduled conversions completed so far. The feedback from our operators remains highly positive. In addition to kitchen efficiencies, our operators also appreciate the calmer kitchen and less stressful execution during power hours. 
 Also on the technology front, we are preparing to go live during the second quarter with a new people system, which we call Roadie First technology. The system will provide our employees with a more user-friendly platform for easier access to their data and records. It should also improve the recruiting and employee management processes for our managers. The first -- the Roadie First technology name reflects our commitment to enhancing the Roadie experience at all levels, which will allow us to continue hiring, training and retaining the best people in the industry. 
 Finally, we just returned home from our annual managing partner conference in Austin, Texas. It was a great week celebrating our operators' success in 2023, planning for the future, recognizing our top talent and having a little fun. We also unveiled our first purpose statement, which is, "Serving communities across America and the world." We believe our purpose builds clarity for our Roadies and will inspire them for our journey ahead. 
 Speaking of inspiration, I want to congratulate Casey Cohen from Turnersville, New Jersey, as she was named our Texas Roadhouse Managing Partner of the Year. I also want to congratulate Vanessa Blanco-Quezada from Albuquerque, New Mexico for being named our Bubba's 33 Managing Partner of the Year. Additionally, I want to recognize Benito Galindo of Covington, Louisiana, for being named our national meat-cutting champion and Frank Fernandez for being named our support center Roadie of the year. And lastly, I would like to congratulate and thank our award finalists for their contributions and accomplishments. 
 Now Chris will provide some thoughts. 
David Palmer: Thanks, Jerry. I want to echo your comments regarding what an impactful time we shared with our managing partners in Austin. They are doing a fantastic job, and it was great to be a part of celebrating the best of the best. Having an operator mentality and focus on the guest experience continues to pay financial dividends for us. 
 While it's only been 5 weeks since we implemented a 2.2% menu price increase, we are encouraged by the traffic and mix trends we've seen so far. In fact, our mix trends improved as we moved through the first quarter and into the beginning of the second quarter. We've always taken a long-term approach to pricing with the goal of driving sustainable traffic growth. We believe our guests continue to reward us for this approach by choosing to come to our restaurants more often. 
 Commodities, more particularly beef, have performed better than we'd expected. We're benefiting from the improved cost environment as only a small portion of this year's beef purchases have been made through fixed-price contracts. While we still expect beef inflation to increase as we move through the year, we now expect full year 2024 commodity inflation will be approximately 3%. Currently, we expect to be above the full year inflation forecast in the back half of the year. 
 Labor is benefiting from improved productivity as our hiring efforts have resulted in well-staffed restaurants with longer-tenured Roadies. This is allowing our managers to staff their restaurants more efficiently and focus on the employee experience. So far this year, wage and other labor inflation has played out as anticipated. As such, we continue to expect 4% to 5% inflation for the full year. 
 Our cash flow from operations continues to support our balanced approach to capital allocation. We're pleased with the returns we are generating from our ongoing investments in the business, including new store openings, bump outs, kitchen expansions and digital kitchen conversions. During the first quarter, we generated over $240 million of operating cash flow which was used to fund over $125 million of capital expenditures, dividend payments and share repurchases. As we've done throughout our history, we will continue to return capital to shareholders and invest in growth projects. 
 And now Michael will walk us through the first quarter results. 
Michael Bailen: Thanks, Chris. For the first quarter of 2024, we reported revenue growth of 12.5%, driven by a 7.7% increase in average unit volume and 4.9% store week growth. We also reported a restaurant margin dollar increase of 23% to $228 million and a diluted earnings per share increase of 31.4% to $1.69. 
 Average weekly sales in the first quarter were over $159,000 with To-Go representing approximately $21,000 or 13.1% of these total weekly sales. Comparable sales increased 8.4% in the first quarter, driven by 4.3% traffic growth and a 4.1% increase in average check. By month, comparable sales grew 4.2%, 10.4% and 10.2% for our January, February and March periods, respectively. And comparable sales for the first 5 weeks of the second quarter were up 9.3% with our restaurants averaging sales of approximately $158,000 per week during that period. 
 In the first quarter, restaurant margin dollars per store week increased 17.3% to over $27,500. Restaurant margin as a percentage of total sales increased 148 basis points year-over-year to 17.4%. 
 Food and beverage costs as a percentage of total sales were 33.9% for the first quarter. The 131 basis point year-over-year improvement was driven by the benefit of a 4.1% check increase offsetting the 0.9% commodity inflation for the quarter. 
 Labor as a percentage of total sales decreased 51 basis points to 32.5% as compared to the first quarter of 2023. Labor dollars per store week increased 5.7% due to wage and other labor inflation of 4.3% and growth in hours of 1%. The remaining 0.3% increase in labor dollars per store week was primarily driven by a $0.7 million net unfavorable adjustment to our quarterly insurance reserve. 
 Other operating costs were 14.7% of sales, which was 39 basis points higher than the first quarter of 2023. Higher operator bonuses as a percentage of sales, resulting from an increased year-over-year restaurant-level profitability, drove 23 basis points of the increase. Also included in the year-over-year change is an approximately 35 basis point negative impact from adjustments to our quarterly reserve for general liability insurance. These adjustments include $3.5 million of additional expense this year and a $0.8 million credit last year. 
 Moving below restaurant margin, G&A dollars grew 5.5% year-over-year and came in at 4% of revenue for the first quarter. G&A dollar growth benefited from lapping an approximately $2.6 million onetime cost related to an executive retirement. Our effective tax rate for the quarter was 13.9%. Our expectation for the full year 2024 income tax rate remains unchanged at approximately 14%. 
 Finally, as a reminder, 2024 is a 53-week year for us. As such, the fourth quarter will have 14 weeks versus our normal 13 weeks. We estimate that the additional week could benefit full year 2024 earnings per share growth by approximately 4%. 
 Now I will turn the call back over to Jerry for final comments. 
Gerald Morgan: Thanks, Michael. The theme of our managing partner conference was Buckle Up. It is a fitting message as we prepare for our journey ahead. At conference, I encouraged our operators to buckle up and double down on our mission, our core values and our purpose of serving our communities across America and the world. Last but certainly not least, we are honored to have Casey and Vanessa, our Managing Partners of the Year with us for the call today. Congratulations again to both of you. 
Michael Bailen: That concludes our prepared remarks. Breanna, please open the line for questions. 
Operator: [Operator Instructions] Our first question today comes from David Palmer with Evercore ISI. 
David Palmer: I'll try to squeeze in just 2 quick ones. First, on other operating expenses, up 9% per store in the quarter. That was a similar type of growth rate in all of '23. Could you remind me what's driving that growth in that line item? And as you look ahead, is it reasonable to assume that, that growth rate might slow and you'd be able to leverage that line a little bit more? And then just any comments or details you can give about the digital kitchen initiative. It obviously has great uptake. Any quantification about the benefits you're seeing, table turns, order accuracy, anything that could help the business? 
Michael Bailen: David, thanks for the question. It's Michael. I'll start with the question about the other operating. Yes, as we mentioned, we did have a general liability adjustment on that line of $3.5 million. So that is driving some of that increase. Obviously, as we're doing higher sales volumes, that also was driving those dollars per store week as there are items in there that are directly correlated with sales. And we also mentioned the higher profitability of the restaurants is leading to more compensation expense. 
 So it is certainly possible and probably expect that dollar per store week growth for other operating will not increase at that high of a level throughout the remainder of the year. But obviously, we don't know what other adjustments we may have to make. But all those being equal, that should come down. 
 And I can start off on the digital kitchen, and then I'll turn it over probably to Jerry. A little early for us to give any comments, actual throughput or any kind of numerical quantitative information on it, but we are very happy with the qualitative feedback that we're getting so far and encouraged by what we're seeing. 
Gerald Morgan: Yes. David, on the digital kitchen, I think as we are still early into it, we are very excited about the positive feedback we're getting from our operators. We are being able to see and track our cook times a little bit, the timing of our food and really the calmness in the organization that the digital kitchen brings to our back of the house. So I believe that there is just a quality of life or experience of on the job that will benefit us as we move forward. So we are definitely excited about getting more done as we move through the year and getting some more feedback. But so far, really, really good feedback. 
Operator: Your next question comes from David Tarantino with Baird. 
David Tarantino: Congrats on a good start to the year. My question is on the margin outlook. I think you've talked in the past about the potential to get long-term restaurant margins back to 17%, 18%. I know that's a long-term target, but my question is related to how much progress towards that target you might be able to make this year in light of the easing inflation environment, the productivity gains you're making. So just wondering if you could frame up this year in the context of progress towards that long-term target. 
David Monroe: Sure, David. This is Chris, and thanks for the question. Well, clearly, we've had solid margin expansion in Q1 here and reaching 17.4%. So we're in the zone of our goal of 17% to 18%, and that's where we'd like to be. And honestly, we feel like we have an opportunity to expand it similarly in a year-over-year basis in Q2. But in the second half, there's the commodity pressure that we're expecting. And so it will be more difficult to do that. But then when you get to the full year after you've added all that up, we should see some modest -- modestly higher than we were in 2023. And  it was still a long-term goal of consistently delivering between 17% and 18%. 
David Tarantino: Great. And then if I could ask a follow-up. You did mention labor productivity gains. So could you just maybe elaborate on what you're doing there? And is that just a matter of kind of more stable staffing in the current environment? Or are you actually making progress in other ways? So any help there? 
David Monroe: Yes, David. This is Chris again. I think it is a reflection of more stable staffing and having our longer-tenured Roadies, as I talked about in my prepared remarks. It just allows our operators to just have a team that's together, that's working together, that gets reps together. And they're just more efficient, and we're far away from the situations that we were in during the pandemic where it was difficult to get people to come in and we were having difficulty in staffing. So now that we have our staff in place and we -- and our turnover is certainly lower -- much lower than it was before, that's driving some of the benefit on that line. 
Operator: Your next question comes from Brian Harbour with Morgan Stanley. 
Brian Harbour: Yes. I think you commented on some -- just some improvement in mix sequentially. Could you talk about kind of what drove that? Or any kind of like customer behavior shift that you observed as you went through the quarter? 
Michael Bailen: Yes, sure, Brian. This is Michael. I can talk a little bit on that. Yes, I mean, I'd say we're really not seeing anything changing in our consumers' behavior. We are seeing less alcohol, negative mix than we have been seeing, and that was something that has been trending back more to neutral over the last several months. We're still running a little bit negative on alcohol. But entree, appetizers, add-ons, all those items have -- which were never really overly negative, have really flattened out. So very encouraged by what we're seeing there. And to me, it shows that the consumer is still seeing the everyday value that we're offering. 
Operator: Your next question comes from Jeffrey Bernstein with Barclays. 
Jeffrey Bernstein: Great. Two questions. The first one, just on the -- you made reference to the Texas Roadhouse brand versus the Bubba's brand. Clearly, both of them are very strong relative to the industry. But when you compare them between each other, the Texas Roadhouse, I mean, the 2-year stacks on comps are 22% and their AUVs are $8.5 million. The Bubba's 2-year stack is 12% and the AUV is like low 6s. Just wondering what do you view as the greatest driver of the discrepancy between the 2? And would you say that with the passage of time, the gap would narrow in terms of both comp and AUV and make the brands more similar in terms of being indifferent which brand you open? And then I had one follow-up. 
Michael Bailen: Yes. It's Michael. Thanks for the question. Some of that's going to get into a little speculation, and it will be hard for me to answer. Obviously, the Texas Roadhouse brand has been around quite a while longer than Bubba's had. So we are very happy with what both brands are doing. It's hard for anybody to compete with what Texas Roadhouse has been doing. But Bubba's at $120,000, it was a very strong number for us. And when you only have less than 50 Bubba's, you can always -- it's easier for those numbers to be skewed one way or another by a few stores. So we are very encouraged by what we are seeing there, and we generate similar returns from both concepts, and we're excited to see what we see in the future. 
Jeffrey Bernstein: I guess that's the issue when your big brother is Texas Roadhouse. 
Michael Bailen: That is very true. 
Jeffrey Bernstein: My follow-up question is just to clarify on the unit openings. I think you mentioned still being confident in the 30 company operated this year. I know you mentioned 10 year-to-date and 18 under construction. Maybe these things open pretty quickly. But can units start construction in coming months and still open before year-end? Or might you come in closer to that 28 number for the full year '24 just for modeling purposes? 
Gerald Morgan: Yes. We can get them under construction now and get them into this year. So we're still approximately 30 between the 3 brands. And obviously, the pipeline for '25 is being worked hard, too. So I believe that we'll hit that number. We have a lot of confidence in it right now. Everything kind of is working well for us. So we'll stay right there for the moment. 
Operator: Your next question comes from Peter Saleh with BTIG. 
Peter Saleh: Great. Just maybe 2 quick ones for me. On the ZIOSK, can you just remind us maybe what percentage of the sales are now going through that platform? And aside from maybe the table turns, which I'm assuming that's benefiting on table turns, what else are you learning about the customer given that so much of the sales are going through that platform? Any other data that you're able to collect? And what are you learning about the customer? And then I have a follow-up as well. 
Gerald Morgan: Yes. I mean it's the pay-at-the-table. So I believe we're -- approximately 80% of our guests use the Roadhouse Pay as we call it as the pay-at-the-table feature. I don't know if there's a lot to learn there other than it just helps with when they're ready to go, they can swipe their cards and be on their way. So I think from that, it's a convenience factor, more importantly, and it's a transaction that allows them to leave when they're ready. And it's obviously been very well liked and utilized within our guests. 
Peter Saleh: Great. And then I think you guys mentioned that you're expecting commodity inflation to be higher in the, I guess, the second half of the year, getting to that full 3% for the full year. Can you just give us a sense on how much of your basket is locked for the second half and if -- how much variability we have around that number? 
Michael Bailen: Peter, it's Michael. Yes, like in similar quarters, we're not going to give a lot of detail on what is locked for competitive reasons. At this point in time, we're not going to -- we have been -- haven't certainly put a lot of beef into a fixed-price contract both from our side seeing the volatility, and the packers seeing the volatility, so hard to agree upon a fixed price. We certainly have entered into supply contracts for most of the beef that we'll be using over the remainder of the year. So yes, there is the potential for volatility in that inflation number as we move through the year, both higher or lower if the market were to behave differently than we expect. 
Operator: Your next question comes from Sara Senatore with Bank of America. 
Sara Senatore: I guess 2 questions. One, just on the mix and pricing, the comp. Could you just remind us how much price you had? I think you said last time we spoke was like 5% price. So just trying to calculate the mix. It sounds like it's less than a percentage point headwind at this point. 
Michael Bailen: Sara, it's Michael. In the first quarter, we had 4.9% pricing. And you are correct, we had about 80 basis points of negative mix. But that did come down quite a bit in the first 5 weeks of our second quarter to only about 20 basis points of negative mix as we continue to have about 4.9% pricing in the menu for both the second quarter and the third quarter. 
Sara Senatore: Okay. Great. That's very helpful. And the sort of the question I have related to that is just as you think about, again, your business versus everybody else, where everybody else is seeing like check management, do you have a sense of, again, what's  driving that? I know it's somewhat speculation, but are you getting people who maybe are trading in from other concepts who -- relative value is still very good, so good at Texas that it encourages them to attach more? I'm just trying to understand the dynamics, which seem to be running contrary to the rest of the industry in a good way. 
Gerald Morgan: Well, thank you very much for that kindness. We believe that our offerings and the value that's built into our menu is really what is allowing people to be very happy when they do trade in from wherever. And our focus on our food, our service and the experience that we provide with the value built into our menu is really what we see happening. I don't really see anything else in the mix to tell me anything different than keep doing what we're doing, legendary food and legendary service and keep making sure that guests have great experiences in all of our businesses. 
Operator: Your next question comes from Dennis Geiger with UBS. 
Dennis Geiger: Jerry, wondering if you could just talk a little more looking ahead to later in the year and thinking about pricing. I know you spoke to it at a high level earlier, but anything philosophically there given where traffic is, given you've underpriced competitors in recent years but given cost inflation that you've seen over the years. Any kind of high level as you look to that next pricing increase that you can share today or just how you're thinking about it and how the operators are thinking about it? 
Gerald Morgan: Well, Dennis, we'll follow the same procedure we always have. We've -- we're just 5, 6 weeks into this last round. We'll gather our feedback from all of our managing partners and our market partners probably in August, September and talk about what we would or wouldn't do in October. So still a little early. We'll take the approach of being conservative. We'll see what happens in the industry going forward. And then we'll absolutely partner up with our operators and decide what is best for each and every one of their store or their market or their region. And then as a company, we'll help them make that decision that will also be very good for our consumer and our shareholder. 
Dennis Geiger: Makes good sense. Jerry, just one more maybe if I could. Just on staffing hours as it relates to that traffic, we've seen some really good relationship there in recent quarters. Anything additional on the go forward there as we think about that relationship relative to last year? Kind of recent quarter is a good way to think about the go forward, would you say? 
David Monroe: Dennis, it's Chris. Thanks for that question. I'll start, and Michael can clean up anything I miss up here. But I think that we're -- we've talked about having a historical average of 50% growth rate of our hours growth to our traffic growth, trying to keep it around a 50% level. And in the fourth quarter of last year, you'll remember that we hit that. And so we actually came in well with a number even better than that in the first quarter, something more like 25%. 
 So we'd like to continue that. I don't know that we can continue the 25%. Our goal is around 50%. But I think that there's definitely a lot of work that's been done to improve our labor situation, and it's really thanks to our operators and their hiring and their staffing and making sure that their teams are working well together. And now we're delivering these results over the last -- at least the last 2 quarters, we're definitely back in the zone. 
Michael Bailen: Yes, Chris, I'll echo what you said there. I think last year, all that hard work of the operators to get their stores staffed the way they needed to be is now paying off in that percentage for the first quarter. And we'll see where the next several quarters come out, but there certainly feels like there is strong potential for that to remain at or below that 50% level over the next several quarters. 
Dennis Geiger: Good stuff. Congrats, guys. 
Michael Bailen: Thank you. 
Operator: Your next question comes from Jeff Farmer with Gordon Haskett. 
Jeffrey Farmer: I have a quick follow-up on commodities and then just one more on capital investment. So on commodities, I understand there's some black box nature of what's going on. But based on what you know now, can you share expected quarterly commodity inflation over the next couple of quarters? 
Michael Bailen: Jeff, it's Michael. I'm not going to give specific numbers, but I'll help guide you all. The expectation is the second quarter will be above where we were in the first quarter but probably still below the full year average. And then Q3 and Q4 are looking fairly similar and are going to be a little bit above that 3% full year number. 
Jeffrey Farmer: Okay. That's helpful. And then on the average capital investment for a new Roadhouse, at least according to the K, it's expected to be roughly $8 million in 2024, which is flat versus last year. But it looks like it's up more than 40% versus '19. I appreciate that a lot of your peers are in the same sort of inflationary boat there, but do you see any opportunities to reduce that $8 million cost for a new Roadhouse? 
Gerald Morgan: I think we're going to be pretty close to it. We have expanded the new store openings, I believe, at the beginning of '23. So we've got to that expense. We feel really good about the size of our building, the expanded coolers, just more room to be able to execute in our back of the house. And so it's probably -- I would assume right now, if I'm looking forward, we'll probably be very close to that. I don't see a lot changing. 
Operator: Your next question comes from Lauren Silberman with Deutsche Bank. 
Lauren Silberman: Congrats on a great quarter. 
Gerald Morgan: Thanks, Lauren. 
Lauren Silberman: Two questions . One, it looks like off-premise grew at a faster rate than on-premise for the first time in a few years. Was that a function of weather earlier in the quarter? Is there anything else you're seeing? And can you talk about how that trended during the quarter? 
Gerald Morgan: I think it's just about our ability to execute in our dining rooms and again, getting used to the adjustment of what our To-Go volume is, and that's the average volume. We obviously have stores that are doing much higher than that. So I think it's really about our operators settling in and running a full house and being able to execute our off-premise and our To-Go processes of how we make that experience for the To-Go, our food. We're putting a lot more effort into executing our To-Go food at a higher level. And I think it's paying off for us as well as getting settled into full dining rooms for longer hours of the day. So a good problem to have. 
Michael Bailen: Yes. And Lauren, this is Michael, just to add on. It was actually not in the first period during that colder or more winter weather. We saw the stronger growth in the guests and the sales of the To-Go business in the second and third periods of our first quarter. So strong throughout, but it goes to everything Jerry talked about. Just we've made it, the ease of that To-Go process. We really made that as easy as possible. And the guests, again, continues to reward us for that and is using that To-Go on a regular basis. 
Lauren Silberman: That's awesome. And then just a quick one for modeling purposes. You talked about the quarter-to-date in April running 9.3%, which is incredible. Can you just remind us if there's anything we should be considering in terms of monthly compares for 2Q as we think about the cadence? And then any comments that you have on regions or regional differences? 
Michael Bailen: Yes. Lauren, it's Michael again. Nothing really that I would call out to be careful about over the coming months. And again, typically, our May period tends to be busier than our April, and then June can look fairly similar to our April period. So nothing I would call out there. And as far as the trends that we've seen across region, certainly in the first quarter, it was pretty strong across the country. Maybe the South and Southeast, Southwest are a little bit stronger from a comp standpoint but not dramatically different. So it was really a solid quarter nationwide and across all restaurants. 
Operator: Your next question comes from Andrew Strelzik with BMO Capital Markets. 
Andrew Strelzik: A 2-parter on new store performance for me. I noticed in the release for the Texas Roadhouse stores opened less than 6 months, there was an 8% decline in the average weekly sales. And it's the third quarter in a row of declines, and those have kind of accelerated over the last -- over that period. So just curious what is driving that. Any color behind that would be great. And then just more broadly, color on new store performance would be great. 
Michael Bailen: Andrew, it's Michael. Thanks for the question. Yes, that's something -- I mean that comes across in the numbers. There's some timing and regional impact in there. When you go back to the first quarter of last year, I believe that was 15 new stores. Three of those were in California. Those are high-volume restaurants. We're going to do some of the highest sales in the country out there. And that was really pushing that number higher. So I would say the anomaly, if you want to call it anything, was how high that number had gotten in that first quarter.
 Now we don't have those California stores in that 25 store number for the first quarter. We're very happy, let me emphasize, very happy with the performance of our new stores and how they are performing. We don't expect every restaurant out of the gate to be doing $150,000, $160,000 per week in sales. But as we look across all of those, there is nothing that is concerning us about their performance or our ability to continue to open more stores. There's just always going to be a little bit of a timing issue and a region -- the states that they may open in. 
Operator: Your next question comes from Jim Salera with Stephens. 
James Salera: I wanted to ask if we could get an update on the butcher house initiative. And maybe at a high level, do you really think of it as a way to build brand awareness or more of a frequency increaser or a way to get more customer data? And maybe one tag on to that as well. Does it help you guys with new site selection as you can start to get some frequency and data information on where people are ordering from? 
Gerald Morgan: No. I think mostly what any of that retail segment of our business is about brand awareness, and we've done some really creative things. We've had a lot of fun with it, and I think that's the real focus on our retail. It's just really brand awareness and having some fun. We're continuing to look at every aspect of the business and see what we do with it in the future. But right now, we're uncertain. 
James Salera: Okay. And then if I think about the performance of your brand, obviously, the foot traffic has been very strong, which is divergence from a lot of your peers. It seems like -- is there a scenario where as the macro gets tougher, the value proposition at Texas Roadhouse is such that you continue to source more people from peers in a way it actually makes your trends more resilient given the value positioning? 
Gerald Morgan: Well, we certainly believe that, and we continue to do what we do. We can't really control what they do. We believe in our value that's built into our menu. We continue to try to be very conservative and take care of our business but take care of our guests and really understand the dynamic of where we're at today. And so I just believe that we focus on our food being smoking hot, picture-perfect recipe, right, fast, fun and friendly in our dining rooms. It's rewarding us, and all 3 of our brands have excellent food that we're proud of. We love the hustle to help people and serve. And that's what gives us the advantage, I believe. And we're really proud of everything that our operators are doing out there, and they play this game at a very high level. 
Operator: Your next question comes from Gregory Francfort with Guggenheim Securities. 
Gregory Francfort: I appreciate the update on Bubba's and Jaggers. I'm just curious how you're thinking about balancing the capital priorities across the 3 brands in the next couple of years. And then for Jaggers maybe specifically, it seems like you're accelerating the franchise development. What's the plan long term on how you're thinking about the company operator versus franchise development there and maybe what your pitch to prospective franchisees looks like? 
Gerald Morgan: Thank you for the question. I believe that we're going to stay focused on Roadhouse in that mid-20 growth. Bubba's, we've talked a little bit about how we're building the pipeline. It is absolutely our second brand, and we're very invested and excited about what it's doing. Jaggers is exciting for me in a lot of different ways. We've got 8 company stores and 3 franchise stores, and we've got people interested. The food is incredible. Our service model is really working from a speed of service standpoint. So we are building our very first international restaurant with Jaggers. 
 So the thing about franchising is you can go a little bit faster, and you actually learn a lot. We're really good at casual dine, and to really get our head around Jaggers and what it needs to be highly successful, we wanted to bring some partners in that could help us grow. And that's what we're doing with our franchise partners. We're learning. We're partnering up. It's going to help us grow on the company side and on the franchise side. It's hard to tell you what percentage right now going forward, but we're definitely leaning into both and learning a lot. And we really appreciate our franchise interest in the Jaggers concept. 
Operator: Your next question comes from Jim Sanderson with Northcoast Research. 
James Sanderson: I wanted to go back to a little bit more insight on Bubba's 33. I think the comp was a little bit weaker than Texas Roadhouse. But can you walk through the same-store sales breakdown, traffic, price/mix for Bubba's? 
Michael Bailen: Jim, it's Michael. We actually don't get into that detail as much or at least not at this time into that breakdown. I mean -- but yes, you're correct, it's not -- it did not comp to the same level Roadhouse did, but again, Roadhouse is kind of different than everyone else out there. But again, we are -- and with only 45 restaurants, if you have a handful not growing, it can skew that number. But overall, we saw some great performance in Bubba's early this year and are very encouraged by the margins that we're seeing there and what that business can deliver going forward. 
Gerald Morgan: Yes. And I'll add on just a little bit on that. We're really -- if we just look at Bubba's and not compare it to Roadhouse,  we're very, very happy with the performance, not only on our sales. We're attacking sales and controlling our costs. We've done some things in the building to help us long term, and we've done a little bit of menu engineering. We've added a combo appetizer, which has really been a success and reorganized a little bit of how we do wings. And we've got a new sandwich we're excited about to be offering out there. And  so there's a lot of momentum. As I look at the first quarter in Bubba's 33, it tells me we're in the right business. Burgers and pizzas and cold beer and rock and roll, we're going to be just fine. 
James Sanderson: Okay. Can I assume from that, that you had positive traffic in 2024 at Bubba's? Is that fair? 
Michael Bailen: Yes, I think that's fair to say. 
James Sanderson: All right. I just want to ask a follow-up question also on same-store sales in April. Is there any issue related to the Easter calendar shift that impacted performance? 
Michael Bailen: With Easter, no. Easter still fell within our April period. So no impact from Easter. 
James Sanderson: No shift between, okay. Very, very good. And then last question for me. How does Texas Roadhouse usually do for Mother's Day? Is that an important event or not so much? 
Gerald Morgan: Yes. It's an incredible event. It's all part of Valentine's Day, Mother's Day, Father's Day. We kind of call it the triple crown. And speaking of that, the first leg of the triple crown is here in Kentucky over the next couple of days, and we're excited about that. But yes, Mother's Day is huge for Texas Roadhouse and the restaurant industry overall. And we have some dominant players out there. We're excited about Mother's Day and Father's Day. 
David Monroe: And Jim, this is Chris. I'll just throw in, there's also Mexican Mother's Day that is celebrated as well. So we have that as a part of our repertoire as well. 
Operator: Your next question comes from Jake Bartlett with Truist Securities. 
Jake Bartlett: My first is just a clarification or kind of a modeling question. But is -- do you expect to open company-owned Jaggers of the 30 company-owned stores you expect? I think you said 4 Bubba's. Any Jaggers in there? And then the real question, the bigger question is about G&A. Anything we should think about in the second quarter? I know you typically don't disclose how much exactly you spent on the conference. But if there's any variance, anything we should be aware of as we try to model G&A. As I kind of try to make the adjustments in the first quarter, I get about 10 basis points of leverage in the first quarter, adjusting for the onetime last year. Is that the kind of leverage you expect going forward just for the year as a whole? 
Gerald Morgan: I'll let Michael answer that second part. On the Jaggers growth, yes, we only have 1, maybe 2 this year as far as we can look at. But I'm building the pipeline. I do expect that to grow in the future. We're working on some deals right now that are looking really positive. I believe we had 3 last year. And so we'll continue to look at the ramp-up on that because it is now hitting the goals and the targets that we're looking for. 
Michael Bailen: And this is Michael. On the G&A question, in the first quarter, yes, on an adjusted basis, we did get a little bit of leverage. I think the next several quarters -- again, some of it will depend upon your assumptions for top line revenue, but I do think it may be a little bit tougher for us to get leverage on G&A in the second and third quarter. 
 When you think about the -- some of the investments we're making in Roadhouse technology and some of the other things that we're doing internally, we're definitely investing in the business, and this being a 53-week year for us, which should result in -- could continue to result in strong performance, we'll probably be taking some extra accruals for bonuses and compensation during the year. So I would expect you could probably see G&A for the year being in a flattish range. But the second and third quarters could be a little bit more difficult to get some leverage. 
David Monroe: And I'll just add to that, that the back half of the year could be impacted by the change in the timing of our equity grants that we talked about, and that is probably what you were referring to in -- at least in part there in the second and third quarter. 
Jake Bartlett: Great. And if I could sneak just one quick one in. On the extra operating week impact on EPS, it's greater than just the proportion of the week. I think in 2019, there was a 60 basis point benefit on the restaurant level margins from the extra operating week. Is that kind of -- any reason to think that would be different this time around? 
Gerald Morgan: Yes. I mean I think in the prepared remarks, we said we're expecting about 4% benefit to EPS from that extra week. And whether that's 60 basis points or somewhere, it would obviously benefit some parts of margin. It's going to benefit some items outside of margin. But we estimate about a 4% benefit to EPS. 
Operator: Your next question comes from Brian Vaccaro with Raymond James. 
Brian  Vaccaro: Just regarding the commodity outlook, I'm curious to just get your perspective on the supply and demand dynamics in the beef market. Just what you might be hearing that's driving the near-term favorability and then kind of what informs your view that beef costs could move higher later in the year. And then is there anything worth noting on the non-beef side and you kind of maybe level set what level of inflation you're expecting on that other 50% of your basket? 
Michael Bailen: Brian, it's Michael. Maybe I'll do the easier part first. Another half of the basket, flat to deflationary, really nothing to call out or speak of there. And similar -- it's really continuing to perform as we would have expected. So either being flat to deflationary and offsetting a little bit of the beef inflation. 
 The supply has been a little bit better than what -- industry-wide than what was anticipated. So that certainly helped beef in the first part of the year, and we think it will continue to help over the next several months. And then the retail demand has been probably a little bit weaker, or what they've been marketing has probably led to a benefit for us. 
 So I think we've seen less marketing of rib eyes and maybe more marketing of strips by the grocery stores. And obviously, rib eye is a more important item for us. So things like that have led to some of that benefit that we've seen. And our expectation is that things are going to catch up, and that supply tightening will have a bigger financial impact on us in the industry as we move into the back half of the year. 
Brian  Vaccaro: All right. And then just one quick follow-up on Bubba's, if I could. I understand the strong sales that you're seeing. And I think store margins, at least in 2023, were a little bit below 14%, if my notes are right. I guess I'm just curious, where would you like to see that over time as part of your unit economic model? And then what's the path towards driving higher margins at the Bubba's brand? 
Michael Bailen: Yes. I mean Bubba's has actually seen quite a bit of improvement early this year, and I think you'll see that in some of our documents that will get filed in the coming days. So I think a margin, again, in the 17% to 18% range for Bubba's is kind of what we're looking for, just like what we're looking for on the Roadhouse side. And again, that Bubba's team has been working hard and has made great strides, and I think you're going to see the fruit of that labor coming through here. 
David Monroe: Yes. And I'll just add to that. What you're seeing is, and we're recognizing it here today with Vanessa here with us, that you have local Bubba's that are doing fantastic work with their local store marketing in places like Albuquerque and others, where the sales are growing. And that's really what it's going to take. And again, to Michael's earlier point, there's only 45 Bubba's out there. And they're working really hard on expanding their sales, and now that's beginning to come through. And I think that Michael's comment about the 17% to 18% makes a lot of sense. 
Operator: Seeing no further questions at this time, I will now turn the call back to Jerry Morgan for any closing remarks. 
Gerald Morgan: I just wanted to close and say thank you all very much for your support and time. And I know here in our hometown at Louisville, Kentucky, hosting the Kentucky Derby, it's going to be a fantastic weekend. Hope you all have a great one. Let's go. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.